Operator: Ladies and gentlemen, thank you for standing by. My name is Angela, and I'm your event operator today. I would like to welcome everyone to today's conference, Public Service Enterprise Group's First Quarter 2015 Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session for members of the financial community. As a reminder, this conference call is being recorded today, Friday, May 1, 2015, and will be available for telephone replay beginning at 1 o'clock PM Eastern today until 11:30 PM Eastern on May 8, 2015. It will also be available as an audio webcast on PSEG's corporate website at www.pseg.com. I would now like to turn the conference over to Kathleen Lally. Please go ahead.
Kathleen A. Lally - Vice President-Investor Relations: Thank you, Angela. Good morning. Thank you all for participating in our earnings call this morning. As you are aware, we released our first quarter 2015 earnings statements earlier today. The release and attachments are posted on our website as mentioned, www.pseg.com, under the Investors section. We also posted a series of slides that detail operating results by company for the quarter. Our 10-Q for the period ended March 31, 2015, is expected to be filed shortly. I won't go through the full disclaimer statement or the comments we have on the difference between operating earnings and GAAP results, but as you know, the earnings release and other matters that we will discuss in today's call contain forward-looking statements and estimates that are subject to various risks and uncertainties. And although, we may elect to update forward-looking statements from time-to-time, we specifically disclaim any obligation to do so, even if our estimate changes unless, of course, we are required to do so. Our release today also contains adjusted non-GAAP operating earnings, as well as a new non-GAAP disclosure of adjusted EBITDA for PSEG Power. Please refer to today's 8-K or the other filings for a discussion of factors that may cause results to differ from management's projections, forecasts and expectations for a reconciliation of operating earnings and adjusted EBITDA to GAAP results. I'd now like to turn the call over to Ralph Izzo, Chairman, President, and Chief Executive Officer of Public Service Enterprise Group. And joining Ralph on the call is Caroline Dorsa, Executive Vice President and Chief Financial Officer. At the conclusion of their remarks, there will be time for your questions.
Ralph Izzo - Chairman, President & Chief Executive Officer: Thank you, Kathleen. And thank you, everyone, for joining us today. PSEG performed extremely well in the first quarter. Earlier this morning, we reported operating earnings for the first quarter of 2015 of $1.04 per share, that's a 3% increase over the first quarter of 2014's operating earnings of $1.01 per share. PSE&G continues to achieve best-in-class growth as we expand investments that are helping meet our customers' needs and helping New Jersey achieving important goals. PSE&G invested $599 million in the first quarter as part of its planned capital investment for 2015 of $2.6 billion in upgrades to the electric and gas distribution, and transmission systems. PSE&G's capital program is on schedule and on budget. The Susquehanna-Roseland 500 kV transmission line is expected to be fully operational later this month. This will be a major achievement. SR's 2015 operational date is 12 years after the August 2003 blackout, and almost a decade after PJM identified the critical system needs required to upgrade aging infrastructure and relieve overloaded power lines. SR's completion is testament to the cooperative relationship between PSE&G and PPL Energy and the capability shown by PSE&G in navigating the lengthy permitting and licensing process at both the federal and state levels. PSE&G's investment in transmission represented 39% of its yearend 2014 rate base. And it is forecast to grow to represent an excess of 50% of rate base in five years. The New Jersey Board of Public Utilities recently approved an expansion of PSE&G's successful energy efficiency programs. The investment of $95 million over the next three years will decrease energy costs for participants and lessen the environmental effects of energy supply. At the same time, given the structure of the program, PSE&G should be able to fully earn its authorized return of 9.75%. In addition, the recommendation by PJM staff earlier this week to award PSE&G a share of the work required to upgrade reliability at Artificial Island would increase spending on transmission by anywhere from $100 million to $130 million. The AI investment, the Artificial Island investment was not included in our capital program as described in our March Investor Conference. So this is additive to our prior forecasting of utility investment opportunities. We await the BPU's action later this year on PSE&G's request to invest $1.6 billion over the next five years to continue its long-term program to modernize its gas systems. PSE&G's Gas System Modernization Program would support the replacement of approximately 160 miles of cast iron and unprotected steel gas mains per year. The replacement program would reduce the risk of leaks and it would reduce the release of methane gas. PSE&G has been replacing and modernizing its gas pipe as part of the Energy Strong program. Approval of the Gas System Modernization program would support the extension of this work, and continue to provide a direct boost to New Jersey's economy with the creation of more than 500 jobs. We continue to believe that this is the optimal time to move ahead with this work, given the sizeable savings customers continue to realize from low gas prices, spending on this program, which further enhanced PSE&G's already strong growth platform. The first quarter results for Power demonstrate the quality of its asset mix. PSE&G's Power's earnings continue to benefit from strong operations and the capable management of its gas supply. The fleet's dispatch flexibility and diverse fuel mix supported operations during this past winter. The gas-fired combined cycle gas turbines fleet's availability improved quarter-over-quarter, following conclusion of work at Linden in 2014 to increase its capacity and with a continued focus on operations. This improvement in availability aided the fleet's ability to respond to market conditions. And Power continues to benefit from the management of its gas storage and transportation agreements, which also provide substantial savings to PSE&G's residential gas customers. In a related development, the Federal Energy Regulatory Commission has granted PJM's request to delay the RPM capacity auction. The delay provides more time for the FERC to consider PJM's proposed changes to the auction structure. We believe PJM's original Net CONE offer cap proposal was just and reasonable, but we support PJM's proposed alternative offer cap, which the FERC agrees would allow for bids up to approximately 85% of Net CONE. The FERC's approval of the proposed changes would recognize the need for increased investment to maintain system reliability. The weather conditions experienced over the past two years exposed the critical need to maintain and improve on the resiliency of our infrastructure, the need to replace aging equipment and maintain the level of service demanded by our customers. On a separate matter, I'm pleased with the outcome of the settlement we reached with our insurers over claims related to Superstorm Sandy losses. It's been more than two years since the storm affected our operations, but in the end we have been fully compensated for the insurable spending we made on Sandy related repairs. Our business model is working the way it should. Operational excellence produces the financial strength that allows us to invest in a disciplined way for growth. Our balance sheet is strong, the financial capability supports our current plans to invest $13 billion through 2019, and it is sufficient to support an expansion of this investment program without the need to issue equity. PSE&G's investment program is expected to yield double-digit growth in rate base through 2019, as the earnings contribution from our regulated business exceeds 50% of our consolidated earnings. PSEG Power's investment program is expected to enhance the fleet's efficiency and reliability, as we continue to look for opportunities to expand Power's fleet. The successful implementation of our investment plans will provide PSEG with a strong foundation to deliver customer satisfaction and shareholder value. Based on the strong start to the current year, both operationally and financially, 2015 would represent the third year of growth in PSEG's operating earnings. But given that it is still early in 2015, we are maintaining our forecast of operating earnings for the full year of $2.75 per share to $2.95 per share. We have a proven strategy, and a key contributor to our success is the dedication of our employees to meeting the needs of customers in a safe, reliable manner. Their skills and talent are what will propel us to achieve our long-term goals. With that, I'll turn the call over to Caroline who will discuss our financials in greater detail.
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: Thank you, Ralph, and good morning, everyone. As Ralph said, PSEG reported operating earnings for the first quarter of $1.04 per share versus operating earnings of $1.01 per share in last year's first quarter. We've provided you with a reconciliation of operating earnings to income from continuing operations and net income for the quarter on slide four. As you can see on slide eight, PSEG Power provided the largest contribution to earnings. For the quarter, Power reported operating earnings of $0.55 per share compared with $0.58 per share last year. In addition, Power reported adjusted EBITDA of $626 million compared to $651 million last year. PSE&G reported operating earnings of $0.47 per share compared with $0.42 per share last year. PSEG Enterprise/Other or the parent contributed operating earnings of $0.02 per share compared with $0.01 per share for the first quarter of 2014. The waterfall chart on slide nine takes you through the net changes in quarter-over-quarter operating earnings by major business, and I'll now review each company in a bit more detail. Let's turn to PSE&G. As shown on slide 11, PSE&G reported operating earnings for the first quarter of 2015 of $0.47 per share, compared with $0.42 per share last year. PSE&G's earnings for the first quarter reflect the benefits of the increase in revenue associated with the expansion of its capital program, an increase in demand for gas, and the recovery of insurable storm costs from the settlement of Sandy-related insurance claims. PSE&G's expanded investment in transmission added $0.03 per share to earnings for the quarter. PSE&G is expected to invest $1.6 billion on transmission in 2015, and under PSE&G's formula rate, an increase in transmission revenue of $182 million was effective at the start of the year. This increase in revenue provides for recovery of known costs and appropriate returns associated with PSE&G's expanded transmission investment. The winter weather was significantly colder than normal and colder than a year ago. Of course, the gas weather-normalization clause negates the impact of weather on earnings from PSE&G's gas distribution business. However, growth in customer demand for gas normalized for weather added $0.01 per share to earnings. Quarter-over-quarter earnings comparisons also benefited from a decline in operation and maintenance expense of $0.01 per share. Decline in O&M reflects the expensed portion of PSE&G share of the Sandy-related insurance settlement, and a decline in storm-related repair cost from the higher levels experienced in 2014's first quarter. Together, these more than offset the impact on O&M from an increase in pension expense. Economic indicators in the service area are modestly better than a year ago. Employment and housing indicators show signs of slow, but steady improvement. Electric demand has also shown modest improvement. And I stress the word modest in characterizing demand growth. On a weather-normalized basis, electric sales are estimated to have improved by 0.2% in the quarter and the improvement was led by a 0.6% growth from the commercial and industrial sector, which offset a decline in demand from residential customers. Gas deliveries on the other hand continue to benefit from sustained low commodity prices and the signals of recovery in the economy. Weather-normalized gas deliveries in the quarter grew by 0.4% based on a 1% improvement from the residential sector. PSE&G extended bill credits that it had provided for residential gas usage for the prior five months through April. The April bill credit cut the average bill for the typical residential customer by 32%. PSE&G received approval from the New Jersey BPU in April 2015 to increase its investment in energy efficiency. PSE&G will invest an additional $95 million over a three-year period at an authorized return on equity of 9.75%. The approval will allow PSE&G to expand its energy efficiency initiatives under several popular programs, and the structure under the agreement for revenue and cost recovery should allow PSE&G to fully earn its authorized return. We're maintaining our forecast of PSE&G's operating earnings for 2015 of $735 million to $775 million. PSE&G's earnings for the full year will be driven by the recovery of costs associated with higher levels of capital spending. Let's now move to PSEG Power. As shown on slide 15, PSEG Power reported operating earnings for the first quarter of $0.55 per share and adjusted EBITDA of $626 million compared with $0.58 per share and adjusted EBITDA of $651 million for the first quarter of 2014. Adjusted EBITDA excludes the same items as our operating earnings measure, as well as income tax expense, interest expense, depreciation and amortization, and major maintenance at Power's fossil generation facilities. PSEG Power's strong operating results from the first quarter reflect an improvement in availability of its gas-fired combined cycle fleet, higher prices on its hedged energy output, and the monetization of its gas supply. Together, these help to offset the impact on earnings from a declining capacity revenue and lower wholesale market prices for energy. An increase in the average price received on energy hedges, coupled with an increase in the percent of energy hedged in the first quarter relative to a year ago, fully offset the impact of lower wholesale market prices on earnings. We expect a decline in average PJM capacity prices to $168 per megawatt day from $242 per megawatt day last year reduced Power's quarter-over-quarter earnings by $0.09 per share. Higher gas send out to commercial and industrial customers and strong margins on sales to the off system market in a response to the extreme weather conditions experienced throughout the quarter added $0.04 per share to quarter-over-quarter earnings. The absence of a charge in the prior year improved earnings comparisons by $0.03 per share. And lastly, earnings comparisons were reduced by a $0.01 per share, due to an increase in O&M expense. The changes in adjusted EBITDA are directly parallel the changes in earnings per share on a quarter-over-quarter basis. The earnings release on slide 16 provides you with detailed analysis on the impact of Power's – on Power's operating earnings quarter-over-quarter from changes in revenue and costs. Let me now just take a moment to mention our inclusion of adjusted EBITDA, as both new disclosure and new guidance. We know that many of you track one or both operating earnings and EBITDA for Power. And we thought that by giving you our EBITDA on the same basis as operating earnings and adjusted for fossil major maintenance expenses, this would give you a better window into Power's cash flow generation potential and value over the long term. We took out major maintenance at our Fossil plant, as this is a periodic cost versus the ongoing run rate. As I mentioned, the changes in operating earnings align with the changes in adjusted EBITDA. In other words, the reduction in EPS of $0.03 per share associated with lower wholesale energy market prices and slightly higher O&M equates directly to the $25 million reduction in adjusted EBITDA from $651 million in 2014's first quarter to $626 million in this quarter. I plan to talk about adjusted EBITDA every quarter as we go forward, to ensure we provide you with a consistent view as many of you use this for modeling purposes. Now let's turn for a few minutes to Power's operations. Essentially, this is a tale of two winters. As you remember, the past winter was one of the coldest on record and actually colder than 2014's winter. But this past winter was also characterized by improved availability of gas supply and fewer days of extreme weather than the year-ago period, which resulted in dramatically lower wholesale energy prices than a year ago, when the market reflected scarcity pricing for a much longer period of time. The decline in wholesale energy prices in the first quarter of 2015 from the first quarter of 2014 affected the financial performance of Power's assets that were opened to the market. The increase in the average price received on energy hedges of about $4 per megawatt hour on approximately 76% of generation hedged, help secure Power's margins during the first quarter. The net impact of the higher hedge price was offset somewhat by the need to meet increased demand under load-following contracts at fixed prices. The net impact on profitability of Power's load-following contracts however is not as severe as in the year-ago period for the reasons I just mentioned. Once again, Power's ability to monetize gas supply position offset these market – energy market impacts, resulting in only a slight decline in adjusted EBITDA for the quarter as I mentioned, to $626 million from last year's $651 million. The flexibility and fuel diversity of Power's fleet supported strong operations in the cold weather conditions experienced in the first quarter. Output of 14.5 terawatt hours was in line with year ago level. The nuclear fleet operated at an average capacity factor of 95%, producing 7.8 terawatt hours of output or 54% of generation. This is just a slight decline from year ago levels. Production from the combined cycle fleet increased to 3.9 terawatt hours or 27% of generation, and this represents a 16% increase in output versus 2014's first quarter. An improvement in the availability at Linden following work to increase the station's capacity, and the availability of the Bethlehem, New York facility with an increase in gas supply led to higher production from the combined cycle fleet. The combined cycle fleet's operation was also aided by its use of oil as backup supply to maintain operations during important critical periods. The coal stations performed in line with prior period, producing about 2.5 terawatt hours of energy or about 17% of generation. Finally, output from the peaking fleet declined in response to fewer days of extreme weather. Power is maintaining its forecasted output for 2015 of between 55 terawatt hours and 57 terawatt hours, a 1% to 5% increase over 2014's output of 54.2 terawatt hours. Approximately 70% to 75% of anticipated production for the April to December period of this year is hedged at an average price of $52 per megawatt hour. For 2016, Power has hedged between 50% and 55% of its forecast production of 55 terawatt hours to 57 terawatt hours at an average price of $51 per megawatt hour. And for 2017, Power has hedged 25% to 30% of its forecast generation of 55 terawatt hours to 57 terawatt hours at an average price of $52 per megawatt hour. The hedge data for 2015 and 2016 continues to assume volumes hedged under BGS represent approximately 11 terawatt hours to 12 terawatt hours for each year. We continue to forecast operating earnings for Power in 2015 of $620 million to $680 million. The forecast of operating earnings represents forecast of adjusted EBITDA of $1.545 billion to $1.645 billion for the full year, which compares to $1.584 billion of adjusted EBITDA in 2014. Results for the remainder of the year will be heavily influenced by an increase in the average price of hedged energy and the expected decline in year-over-year capacity revenue. I want to remind you that the average price Power receives for its PJM capacity is expected to remain at 168 megawatt – $168 per megawatt day for the capacity year, which begins on June 1st of 2015. At the same time, the number of megawatts of capacity for which Power receives revenue in PJM is expected to decline by 1,800 megawatts, and this reflects primarily the retirement of the HEDD units, which we've talked about before. Slide 17 provides more detail on generation in the quarter, as slide 21 provides detail on Power's hedged position. Now let me briefly address the operating results from Enterprise/Other. For the first quarter, PSEG Enterprise/Other reported operating earnings of $0.02 per share compared with operating earnings of $0.01 per share last year. The difference in operating income is primarily the result of favorable interest and other income, the contribution to income from PSEG Long Island, and a lease portfolio was steady quarter-over-quarter. And we continue to forecast full year operating earnings for 2015 from PSEG Enterprise/Other of $40 million to $45 million. Finally, just a word on the settlement of the Sandy insurance claims. As Ralph mentioned earlier, we're very pleased that we were able to reach a settlement of claims with our insurers for coverage of Superstorm Sandy-related losses. The settlement provides a total recovery of $264 million, an amount that fully compensates PSEG for insurable spending on Sandy-related repairs. PSEG received $50 million of this amount over the 2012-2013 period, which you probably remember our talking about. Of the remaining $214 million, PSEG recognized $159 million pre-tax in the first quarter's result under a partial settlement reached with insurers, and we will recognize an additional $54 million pre-tax in the second quarter. Power's share of the settlement proceeds are not included in operating earnings or adjusted EBITDA in the first quarter. As you recall, those expenses, when incurred, were not included in Power's operating earnings at that time. And this settlement fully closes out the claim related to Sandy. PSEG closed the quarter with $1 billion of cash on its balance sheet with debt at the end of March 31st of 2015 representing 41.5% of consolidated capital. The level of cash on the balance sheet is high relative to normal conditions, and this reflects the cash impact of bonus depreciation on taxes and includes the receipt of Sandy-related insurance proceeds, all both occurring, of course, at a time during the year when seasonal influences on demand have a favorable impact on cash balances. We remain in a position to finance our current capital program without the need for the issuance of equity and we look forward to seeking additional growth investments. We continue to forecast operating earnings for the full year of $2.75 to $2.95 per share. So that concludes my comments, and I'll now turn the call back over to Angela, our operator, to open up the line for questions.
Operator: Ladies and gentlemen, we will now begin the question-and-answer session for members of the financial community. Your first question comes from Daniel Eggers with Credit Suisse. Please proceed with your question.
Daniel Eggers - Credit Suisse Securities (USA) LLC (Broker): Hey, good morning, guys. Good morning. Ralph, I was wondering if you could share your thoughts on the Artificial Island outcome. It went back and forth quite a bit. You guys got part of the project, but not all of what was originally awarded. How is that affecting your thoughts about future investment in transmission outside of the standard footprint opportunity?
Ralph Izzo - Chairman, President & Chief Executive Officer: Thanks, Dan. Good morning. We have a complaint pending at FERC on the way in which PJM followed the process. And I have met with – the FERC commission is telling them that, we're a little concerned with both the unevenness with which FERC Order 1000 is being implemented nationwide and the fits and starts with which it's being implemented specifically within PJM. And we specifically filed that before PJM staff recommendation came out, because we didn't want it to be viewed as a case of either potentially sour grapes if we didn't win or beating of our chest if we did win. So I think the best face you could put on this is that, it's a nascent program and it's undergoing some growing pains. I have some broader concerns about it that the success of any market is in, the fact that you have multiple buyers and multiple sellers, and you have visibility to pricing and the needs of customers. And this thing has not had any of those characteristics associated with it and it's hard for me to imagine that it will be the case when it gets applied nationally that the recharge here through the separate rule license. Having said that, we're going to proceed with the complaint that the PJM FERC (29:55) recommendation to just about $120 million of $260 million project or thereabouts of round numbers. So it doesn't change our enthusiasm for transmission investment and the importance of that as it pertains to customer reliability. But the FERC Order 1000 component transmission investment, I think, still has some significant work to be done.
Daniel Eggers - Credit Suisse Securities (USA) LLC (Broker): Thanks. And I guess just one other question. With CP hopefully advancing at this point, how are you guys looking at maybe generation related investment opportunities, and is there something you could do prospectively with repowering some of the old HEDD sites, if you're getting paid more for reliability than you have in the past?
Ralph Izzo - Chairman, President & Chief Executive Officer: Yes, Dan. That's definitely on the table. The FT4 engines, as you know, had problems with high energy delivery date KNOX (30:51) requirements. And with some SCR improvements, we believe that those would be economically viable. And our plan would be depending upon FERC's decision, if we think the auction could achieve the kind of prices that would eat down (31:03) justify those improvements, we would go ahead and make those improvements.
Daniel Eggers - Credit Suisse Securities (USA) LLC (Broker): Do they seem more viable than maybe Bridgeport did earlier this year, because of lower capital dollars and maybe a little better visibility?
Ralph Izzo - Chairman, President & Chief Executive Officer: The only thing they have in common is that they are both power plants. As you know, Bridgeport is a combination of spark spread and capacity markets. And HEDD upgrade for SCR -- sorry for the alphabet soup -- is 99.9% of our capacity payments. They're highly inefficient units, and you would only need them for reliability, you wouldn't expect any energy margin from them. So, I could better answer that question once FERC decides on the rules, but at this point in time I'd say just that, they're not directly comparable.
Daniel Eggers - Credit Suisse Securities (USA) LLC (Broker): Got it. Thank you, guys.
Kathleen A. Lally - Vice President-Investor Relations: Next question?
Operator: Your next question comes from Michael Weinstein with UBS.
Michael Weinstein - UBS Securities LLC: Hi guys.
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: Good morning.
Michael Weinstein - UBS Securities LLC: Real quick question about, wondering if you could talk about the possibility of getting a low carbon portfolio standard in New Jersey, and how that might impact CapEx?
Ralph Izzo - Chairman, President & Chief Executive Officer: Yes. Thanks Michael. So, I don't see a separate and independent low carbon portfolio standard in New Jersey in the near term. I believe, if I'm not mistaken, the state's official response and comments to the EPA 111(d) proposal was questioning actually the legality of EPA's ability to implement the program. So looking at sort of the progress we've made on the RPS in the state, I believe New Jersey is intent to proceed along those lines, as opposed to doing something more comprehensive in the form of using an energy efficiency standard or a carbon standard. As you know, we have consistently and still feel this way, believed that a nationwide carbon program is required, and that states going alone, creates all sorts of economic distortions. That doesn't change our point of view, however, that there is a need for the carbon standard nationwide.
Michael Weinstein - UBS Securities LLC: Right. And have you guys specifically mentioned, what you're going to do with proceeds from Sandy insurance recoveries?
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: Sure. This is Caroline. Good morning, Michael. So no, we haven't – we haven't specifically earmarked them for things, of course money – I mentioned we're getting reimbursement, a lot of money was spent for Sandy recovery. So this fully compensates us. That money large part already spent. So the dollars that come in here really just support the strength of the balance sheet that we have and the reinvestment that we're making in new things at the utility and potential new opportunities at Power. So it just gives us more strength to pursue more growth opportunities and very pleased to have the settlement behind us.
Michael Weinstein - UBS Securities LLC: Okay. Thank you very much.
Kathleen A. Lally - Vice President-Investor Relations: Sure. Next question?
Operator: Your next question comes from Paul Patterson with Glenrock Associates.
Paul Patterson - Glenrock Associates LLC: Good morning.
Ralph Izzo - Chairman, President & Chief Executive Officer: Good morning, Paul.
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: Good morning.
Paul Patterson - Glenrock Associates LLC: Just a few quick things. I notice that the deficiency letter, that the response that PJM made to it, there was – they didn't seem to have a problem with stop loss limits on the penalties removed, and I think you guys and maybe Exelon – I'm not sure, and tell me if I'm wrong, are not opposed to that, whereas some generators are, and I was just wondering, if you could give us a feel as to what you think might happen if those limits are removed?
Ralph Izzo - Chairman, President & Chief Executive Officer: If the limits are removed, in general, Paul, I think that the greater the potential for reward which comes along with greater risk, the better it is for us. We have a highly – a high performing fleet and what's important is both halves of that sentence, A, the first half being that they're high performing and second that it's a fleet. So the interchangeability of assets that do clear the auction with assets that don't clear the auction, the fuel flexibility, the different technologies we have, all give us greater and greater confidence about the ability of the assets to perform. So to the extent that penalties become tougher, or limits get removed, one would only expect that the reward would be commensurate with that risk, and we would perform well in that market.
Paul Patterson - Glenrock Associates LLC: Right, no, I can see that. I guess I'm wondering if you have any sense as to quantifiably, or just obviously approximate just general idea about how much that might impact?
Ralph Izzo - Chairman, President & Chief Executive Officer: No, we don't try. Even when the rules are clear, we don't predict the outcome of the auction.
Paul Patterson - Glenrock Associates LLC: That's true.
Ralph Izzo - Chairman, President & Chief Executive Officer: The rules aren't clear. (35:45)
Paul Patterson - Glenrock Associates LLC: Okay. I think that actually satisfies the second question that I had, then, and that's it, I guess. Thanks so much.
Ralph Izzo - Chairman, President & Chief Executive Officer: Thanks.
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: Okay.
Kathleen A. Lally - Vice President-Investor Relations: Thanks. Next question?
Operator: Your next question comes from Travis Miller with Morningstar.
Travis Miller - Morningstar Research: Good morning. Thank you.
Kathleen A. Lally - Vice President-Investor Relations: Good morning.
Ralph Izzo - Chairman, President & Chief Executive Officer: Hi, Travis.
Travis Miller - Morningstar Research: Looking at the slide 19, want to make sure I clearly understand this. The Power fuel costs, look at that oil and gas line. So generation in the quarter was up, and yet saw a substantial reduction there in that fuel cost. So I'm wondering if you could just go through that, and how sustainable that is? It's polar vortex related, or something else?
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: Yeah. So you're right, exactly right, Travis. I mean, you think about where gas prices were last year and where gas prices are this year, they are lower. And so, you see that come right through that line. Of course oil prices were lower too, but gas is the predominant – predominant fuel here. You're seeing that directly come into that line. Remember, I also mentioned that the prices for wholesale energy were lower and that goes along with that, right. So get lower gas prices and lower power prices, preserves spark spread for us and that's what also commented on the value that our hedges provided this year on a year-over-year basis because of that reduction. That is directly related to the observable market price for gas versus last year.
Travis Miller - Morningstar Research: Got it. Is any of that gas monetization benefit in that number, in terms of reducing the fuel costs?
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: No. This is just the pure fuel cost, and cost of goods sold.
Travis Miller - Morningstar Research: Okay, and is it sustainable? Do you think you'd see trends like this over the next couple quarters? Is this a one-off...
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: So that's really gas price forecast question, right. So we really just use what's in the forward curve when we think about gas prices going forward. The important thing to keep in mind though is we've got the base load is hedged, right, in the current year. So we're really talking about what's happening in the combined cycle, and therefore their ability to preserve the spark spread because of how gas moves, protects us to an extent, but other than using the forward curve, it's really hard to predict gas prices.
Travis Miller - Morningstar Research: Great. Thanks so much.
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: Sure.
Kathleen A. Lally - Vice President-Investor Relations: Next question?
Operator: Your next question comes from Shar Pourreza with Guggenheim Partners.
Shar Pourreza - Guggenheim Securities: Good morning.
Ralph Izzo - Chairman, President & Chief Executive Officer: Good morning, Shar.
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: Good morning.
Shar Pourreza - Guggenheim Securities: So if you take your energy strong program, combine it with gas modernization, sort of what is that – how many miles does that cover, as far as replacement of the cast iron steel pipes, and sort of where do you see that program expanding to?
Ralph Izzo - Chairman, President & Chief Executive Officer: So I believe it's about 150 miles per year, and it would take us 30 years.
Shar Pourreza - Guggenheim Securities: Okay. Got it.
Ralph Izzo - Chairman, President & Chief Executive Officer: So the (38:31) gas system is closer to 800 miles, but it would take us 30 years at that spending rate to replace everything.
Shar Pourreza - Guggenheim Securities: Okay, got it. And one just reminder, what do you – as far as, your transmission ROE's right now? What are you earning on?
Ralph Izzo - Chairman, President & Chief Executive Officer: So it varies. Shar, it's – our base ROE is 11.18%. We get a 50 basis points RTO membership adder for 11.68%. We had, I guess, we still have a couple of projects that get anywhere from 25 basis points to 125 basis points in addition. However, our last four or five projects that we filed for have not received any incremental ROE incentive component. So a long-awaited answer, but there is no one simple number. It starts at 11.18%, it goes up to 12.75% or something like that, that being the Susquehanna-Roseland project being the only one that got that big an adder.
Shar Pourreza - Guggenheim Securities: Got it, and if you'd think about it from a weighted average, it's still within the range of reasonableness that you're seeing? (39:34)
Ralph Izzo - Chairman, President & Chief Executive Officer: It comes down to about 11.7%, which is just a fraction of a bit outside the range of reasonableness.
Shar Pourreza - Guggenheim Securities: Perfect, thanks so much.
Kathleen A. Lally - Vice President-Investor Relations: Our next question?
Operator: Your next question comes from Jonathan Arnold with Deutsche Bank.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Well good morning, guys.
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: Good morning.
Ralph Izzo - Chairman, President & Chief Executive Officer: Good morning, John.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Could you, I think you said that the amount of this Hurricane Sandy recovery that was left in the operating numbers of the utility was $0.03, roughly, in the first quarter, but there would be some amount in the second quarter, but I don't think you gave us a breakdown of how much was in Power and how much was Utility.
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: Right. So sure, Jonathan. So the impact to PSE&G's earnings for the first quarter benefited $0.01 to the benefit of O&M from the Sandy recovery that goes to PSE&G. The remaining piece of the settlement that we have – the remaining about $54 million, we have to go through the allocation process, and we will do that and we'll discuss how that will flow when we do the second quarter results. So a couple of things to remember. So on the Power side, we don't flow it through operating earnings, that's below the line, which you can see in the reconciliation. We don't do that because Power spend was below the line as well. And on the Utility side, remember that the recoveries that we got, including a portion of the $50 million – a small portion of that was for PSE&G in the past, goes primarily to balance sheet because a lot of the spend for storm recovery that's recoverable under our policy's capital spend and that's on the balance sheet. So there is balance sheet or regulatory asset offset, and just $0.01 of impact for the P&L from the first quarter for Sandy at PSE&G, and we'll do the second quarter piece when we do the second quarter results.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Okay, but it sounds like it's unlikely to be that material to the year in the context of the guidance or what have you.
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: Yeah. I think that's right in the context of guidance, correct, right. So you've seen now we're almost done with the Sandy settlement being booked, with just $54 million to go and you've got a big piece already booked in the first quarter and the P&L impact for operating earnings purposes was just $0.01. So I think, proportionally you're thinking of it the right way.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Okay. Thank you. And then just on one other topic. We've obviously, it's very – just recently, we're seeing the change in the dispatch or at least the generation stack with some of the coal plants no longer there. What are you guys seeing in terms of just day-to-day, as you come into this front end of the summer? Are there noticeable changes in operations or the units of the shopping (42:19) just not really participating already? What are you seeing in the markets?
Ralph Izzo - Chairman, President & Chief Executive Officer: No, Jonathan. I think one of our slides shows you the capacity factors, and we had a slight dip in nuclear capacity that was purely related to an outage at Salem that wasn't planned, for and otherwise the units would have been at or better than last year in terms of nuclear. Our gas units picked up the slack from some of that, as well as some of the lower prices that Travis paid attention to earlier, but the base load coal units Keystone, Conemaugh had a strong winter season. Prices weren't – gas prices were not below that fateful $1.90 number of 2012 that resulted in some of the dispatch of those, and of course our New Jersey coal units as well as our Connecticut coal units did run a little bit during the winter months because of the unavailability. The head unit saw peakers (43:15) using the demand at the level that they would be called upon. So really no change in terms of the numbers this year from any kind of a fundamental shift in the market that we haven't over the past four years or five years.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Ralph, I was actually a bit more curious about sort of post the mid-April date, where MAPS (43:38) went into effect. It's obviously not in the quarter, so whether there's anyone that could just talk about more real-time?
Ralph Izzo - Chairman, President & Chief Executive Officer: No, I don't think so. I think if anything the forward price curve would suggest that we'll continue to see robust capacity factors for our combined cycle gas turbine units, and nuclear units will run flat out. I mean that's pretty much the same.
Jonathan Philip Arnold - Deutsche Bank Securities, Inc.: Okay. Well, thank you very much.
Kathleen A. Lally - Vice President-Investor Relations: Next question?
Operator: And your next question comes from Michael Lapides with Goldman Sachs.
Michael J. Lapides - Goldman Sachs & Co.: Hey, guys. Congrats on a great start to the year. Two items. One on the regulated side. Can you just highlight for us what's different in CapEx known for the next few years at E&G today, versus what you talked about at the Analyst Day? Several moving parts, just want to make sure we have them all.
Ralph Izzo - Chairman, President & Chief Executive Officer: Sure, Michael. The one thing that's different that has been a – so what we like to show you in the March meeting is what's been approved. So, notwithstanding our complaint in front of FERC, there's $120 million – Caroline correctly described it as $110 million to $130 million in Artificial Island was not included in the March Investor Presentation as baked in. Similarly, so that's the only change of things that have been finalized and are now part of the plan. The other piece that's significantly different is that, we filed, have not received approval for $1.6 billion over the next five years in this gas system modernization program, and that's not in the utilities capital program that we showed you in March.
Michael J. Lapides - Goldman Sachs & Co.: Got it. The other question, thinking about your coal plants in New Jersey, so moving over to Power. Not running a lot, haven't been for a year or two. Just where are you, if at all, in the process of thinking about whether these plants will remain economic? And if not, kind of how on the edge are they, or are they clearly economic? And when you look out for the next three to five, five to seven years, they're a core part of Power's fleet?
Ralph Izzo - Chairman, President & Chief Executive Officer: Could you just hold on a second, Mike. I want to get my controller off the floor, he fell down. Obviously, those plants have – we made significant environmental commitments to them, and the capital requirements going forward on those plants from any kind of regulatory point of view are minimal. The real question will be, their age and their ability to perform in a CP market and the rules there are just aren't known. So to the extent that the risk reward profile of CP changes our thinking on those plants then we would – we have to address that issue. But as of now, we're happy to run them on coal in the winter and on gas in the summer, and they do just fine for us. They are part of an overall fleet, and that fleet has multiple dimensions to it that work well for us from (46:49). But I said that the new factor in the calculus will be what does CP mean?
Michael J. Lapides - Goldman Sachs & Co.: Got it. Last question. Can you just remind us the amount of the HEDD units in terms of megawatts, that are going or went off line?
Ralph Izzo - Chairman, President & Chief Executive Officer: 1500 megawatts.
Michael J. Lapides - Goldman Sachs & Co.: Got it. Thank you, Ralph, much appreciated.
Ralph Izzo - Chairman, President & Chief Executive Officer: Well, thank you.
Kathleen A. Lally - Vice President-Investor Relations: Sure, next question.
Operator: Mr. Izzo and Ms. Dorsa, there are no further questions at this time. Please continue with your presentation or closing remarks.
Ralph Izzo - Chairman, President & Chief Executive Officer: Perhaps, this is – we're finishing ahead of schedule. Thank you all for joining us. I really do hope you view this as kind of a quintessential quarter for us as opposed to anything special. I grant you we didn't have anything fancy to tell you about just steady progress in terms of new investment opportunities at the utility and solid operations all around the company. In other words, what we like to do is just deliver on our commitments, and then some. I know that Caroline and Kathleen and to a lesser extent I, will be on the road over the next couple of months and we look forward to seeing you until then just enjoy your spring. Thank you all.
Caroline D. Dorsa - Chief Financial Officer & Executive Vice President: Thank you.
Operator: Ladies and gentlemen, that does conclude your conference call for today. You may disconnect and thank you for participating.